Operator: Greetings, and welcome to the Ball Corporation Second Quarter 202 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brandon Potthoff, Head of Investor Relations. Thank you, sir. You may begin.
Brandon Potthoff: Thank you, Christine. Good morning, everyone. This is Ball Corporation's conference call regarding the company's second quarter 2025 results. The information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. We assume no obligation to update any forward-looking statements made today. Some factors that could cause the results or outcomes to differ are described in the company's latest Form 10-K, our most recent earnings release and Form 8-K and in other company SEC filings as well as company news releases. If you do not already have our earnings release, it is available on our website at ball.com. Information regarding the use of non-GAAP financial measures may also be found in the notes section of today's earnings release. In addition, the release includes a summary of noncomparable items as well as a reconciliation of comparable net earnings and diluted earnings per share calculations. References to net sales and comparable operating earnings in today's release and call do not include the company's former aerospace business. Prior to -- prior year-to-date net earnings attributable to the corporation and comparable net earnings do include the performance of the company's former aerospace business through the sale date of February 16, 2024. I would now like to turn the call over to our CEO, Dan Fisher.
Daniel William Fisher: Thank you, Brandon. Today, I'm joined on our call by Dan Rabbitt, Senior Vice President and Interim CFO. I will provide some brief introductory remarks and discuss second quarter financial performance. Dan will touch on key metrics for 2025, and then we will finish up with closing comments and Q&A. Before we move on, I'd like to extend my sincere appreciation to Dan for stepping in as Interim Chief Financial Officer. Dan has served as our Senior Vice President of Corporate Planning and Development since 2016 and has successfully led more than 25 strategic transactions from acquisitions and joint ventures to investments and divestitures. He also previously led our aerosol business as Vice President and General Manager. His deep institutional knowledge and proven deal-making expertise have brought immediate leadership and continuity to our finance organization. In just over 1 month since assuming the role, Dan has ensured we're on track with our financial discipline, supporting both our capital allocation targets and partnered closely across the business. Dan, thank you for your steady leadership and dedication during this important time. Turning to business performance. We delivered strong second quarter results and returned $1.13 billion to shareholders via share repurchases and dividends through today's call. This performance reemphasizes our opportunity to deliver record adjusted free cash flow and comparable diluted earnings per share in 2025. Aluminum packaging is outperforming other substrates across the globe, demonstrating the resilient and defensive nature of our global business. We continue to monitor the ongoing uncertainties related to tariffs and consumer pressures, particularly in the U.S. and we are confident in our ability to proactively manage these challenges and sustain our positive momentum throughout the year to deliver 12% to 15% comparable diluted EPS growth. 2025 second quarter comparable diluted earnings per share was $0.90 versus $0.74 in the second quarter of 2024, an increase of 22%. Second quarter comparable net earnings of $249 million were driven by higher volume and cost management initiatives, partially offset by higher interest expense and lower interest income. In North and Central America, stronger-than-expected volume performance was not enough to offset product mix and cost to serve headwinds. Our team executed well, successfully serving higher- than-expected demand, managing the impacts of the Section 232 tariffs and mitigating risks despite a volatile environment. Volume growth was largely driven by strength in energy drinks and nonalcoholic beverages. We remain attentive to the ongoing geopolitical landscape and tariff developments and are actively managing these dynamics. In EMEA, second quarter segment volume remained robust, and segment comparable operating earnings increased 14%. Demand trends continue to be favorable, strengthening our confidence in achieving significant year-over-year comparable operating earnings growth in 2025, driven by sustained volume growth and ongoing operational efficiency. In South America, segment comparable operating earnings increased 38%, supported by strong volume performance in Argentina and Chile. While the Brazilian market performed below our initial expectations, we expect to return to growth in the second half of the year. Our regional performance culminated in Ball's global beverage can shipments being up 4.3% year-over-year in the second quarter of 2025. We delivered a strong first half of 2025, positioning us well for the rest of the year. We recognize there remains important work ahead to achieve our full year objectives. Our teams are committed to carefully navigating ongoing uncertainties and leveraging the resilience and strength of our global portfolio. We're laser-focused on our updated goal of delivering 12% to 15% comparable diluted EPS growth for the year. And while mindful of the challenges, we have confidence in our team's proven ability to execute effectively and deliver meaningful value to shareholders. After a strong first half, we now anticipate 2025 global volume growth to be above the long-term 2% to 3% range and expect all of our businesses to perform in line with or ahead of our long-term targets in 2025. This reflects the durability of underlying global demand, the strength of our customer relationships in addition to the operational consistency of our teams across markets. In EMEA, we continue to expect mid-single-digit volume growth in 2025 as the competitive advantages of aluminum packaging and low can penetration rates continue to drive share gains across the region. In South America, recovery in Argentina and Chile, coupled with anticipated growth in Brazil and Paraguay is expected to drive volume above our 4% to 6% long-term range in 2025. In our North American business, higher-than-expected volume growth across nonalcoholic categories, especially energy drinks, gives us confidence that we will see volume grow near the top end of our 1% to 3% long-term range in 2025. We remain confident in our ability to deliver volume growth in line with or slightly above the market in 2025. We believe the defensive nature of our portfolio, combined with our strong customer alignment positions us well to navigate potential economic uncertainty. With that, I will turn it over to Dan to talk about key metrics for 2025.
Daniel J. Rabbitt: Thank you, Dan, and it's a pleasure to be on this call with you today. We anticipate year-end 2025 net debt to comparable EBITDA to be around 2.75x, and we will repurchase at least $1.3 billion of shares in 2025. Through today's call, we have already purchased $1 billion shares year-to-date, 2025 CapEx is expected to be slightly below the D&A in the range of $600 million. We anticipate being able to deliver on our target of comparable net earnings equal to adjusted free cash flow in 2025. Relative to the estimated tax payments due on the aerospace sale, we expect the remaining portion to be paid in the second half of 2025. Our 2025 full year effective tax rate on comparable earnings is expected to be slightly above 22%, largely driven by lower year- over-year tax credits. Full year 2025 interest expense is expected to be in the range of $300 million and full year 2025 reported adjusted corporate undistributed costs recorded in other nonreportable are expected to be in the range of $150 million. And last week, Ball's Board declared its quarterly cash dividend. As we look ahead to the second half of 2025, we remain committed to operational excellence, disciplined cost control and enhancing productivity across our global footprint. We continue to actively monitor developments in emerging markets and broader geopolitical conditions, staying agile and responsive in a dynamic environment. Our resilient defensive business model, along with the proactive measures we've implemented to reinforce our balance sheet positions us favorably against external volatility. With a solid financial foundation and a clear runway ahead, we are confident in executing initiatives designed to deliver sustainable, high-quality results and drive consistent long-term value creation for the shareholders. And with that, I'm turning it back to Dan Fisher.
Daniel William Fisher: Thanks, Dan. Our business continues to perform well, driven by robust demand across our global network. Tight capacity conditions reinforce the critical importance of executing at the highest level operationally, ensuring we meet customer expectations reliably and efficiently. Thanks to the agility and dedication of our teams, we remain firmly on track to deliver on our financial objectives for the year, including achieving 12% to 15% comparable diluted EPS growth, generating adjusted free cash flow aligned with comparable net earnings and returning significant capital to shareholders through substantial share repurchases and dividends. While external volatility persists, particularly relating to geopolitical events and market conditions, the resilience of our business model positions us strongly to manage through uncertainty. Our proactive steps to optimize our footprint, secure long-term contracts and maintain disciplined financial management further bolster our ability to deliver consistent high-quality performance. Creating long-term shareholder value remains our top priority. As we continue to execute effectively, leverage our strengths in innovative and sustainable aluminum packaging solutions and manage our operations with rigor, we are confident in our ability to generate meaningful and compounding returns for shareholders through 2025 and beyond. We appreciate the work being done across the organization and extend our well wishes to our employees, customers, suppliers, stakeholders and everyone listening today. Thank you. And with that, Christine, we are ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ghansham Panjabi with Baird.
Ghansham Panjabi: Dan, could you just give us a bit more color on what's driving the outperformance in the nonalcohol categories for the beverage North America and Central America segment, especially during the second quarter? And given the strength there and your obvious positive view for the back half of the year for the segment as well, can you just give us more context as to why margins were down 140 basis points for that segment? I know you called out price mix and higher costs. Just give us some detail there.
Daniel William Fisher: Sure, Ghansham. Yes, I think the -- coming into the year, we did think that there would be more aggressive nature relative to the energy drink customers. They got out of the gate strong. One of our large strategic partners is growing nearly 20%. So that was unanticipated. And so I'm encouraged. There's some innovation in that category, probably more so than any other category, flavor proliferations and the right can mix, the right promotional activity, advertising. So I think they figured out a recipe that's winning right now. I think the other thing in the nonalcohol category, in particular, is we're seeing a lot of multipack purchases that are connected to purchasing on promotional activity. The promotional activity is not higher than it has been in the last couple of years, but people are buying connected to that. So that's certainly good for the can. We continue to believe that those tailwinds will persist for the back half of the year. Obviously, beer is softer than we anticipated. Some of our customers in that category, some brands are doing a little better than the aggregate. So I think some of our mix has certainly benefited there. And then just in terms of maybe transitioning to the margin piece, certainly some inefficiencies when you're growing that fast, unanticipated in the delivery of that. Yes, we highlighted mix, less beer, more non-alc is lower margin for us. So we'll take the volume growth, and I think we just need to figure out how to more effectively and efficiently deliver that. The spike in the one customer in particular, growing nearly 20%, created some pretty inefficient service model and delivery schedules for us. And then there's a little bit of mix related to tariffs, a little bit of a drag on that. So we'll see that kind of level off here quarter-to- quarter, but that didn't help. So I think somewhere in the neighborhood of $10 million worth of -- all of that was a drag and just our inability to deliver in sequence on time from some of our faster-growing categories and then a bit of a drag on the tariff.
Ghansham Panjabi: Okay. Very helpful. And then for my second question, you're on track for a new high watermark on EPS [indiscernible] was 2021. It's been an oscillating journey since then. As I look at the segment distribution, North America is at a high watermark in terms of earnings -- margins, I should say, and I guess, earnings. What about Europe? I mean, Europe has had a good spurt in terms of growth. It's been very consistent. Is there any reason why Europe cannot benefit from a margin expansion standpoint to the same extent North America has relative to what you delivered in 2021?
Daniel William Fisher: Yes, Ghansham, I would say I wouldn't expect margins to improve, but the operating leverage will be more consistent. You're already operating at pretty high margin. We lost -- if we're able to ever re-enter Russia, yes, that was -- those were tremendous margins there. But I think we're going to operate on a sustained mid-single-digit growth basis and flow through operational leverage consistent to that 2 in 1, probably more effectively and more efficiently than in any of the other regions. So I'm feeling really good about that.
Operator: Our next question comes from the line of Stefan Diaz with Morgan Stanley.
Stefan Diaz: I guess maybe just to begin, how have your conversations with customers sort of gone so far regarding their plans around tariffs, their hedging strategies? And have you started discussing 2026 and like potential impacts around increased prices and impact of that on like potential ordering patterns?
Daniel William Fisher: Yes. I haven't -- it's a great question. I guess when we get closer to '26 and we see where exactly these things level off, I think those will become clearer. One of the things that's working to our advantage is, I think with the strapped end consumer, they need cans in their portfolio to push for volume. There's not a lot of prices that they continue to pass through. I think you're seeing it kind of across the board. And so I'm not worried about pricing and the dynamics that we saw a couple of years ago that really constrained our volume. The multipacks are being pushed. That's because end consumers are strapped, and the can is the vehicle for our customers to grow with. But I haven't had conversations with any of our customers relative to '26. I think everybody is spending time in Washington trying to fight for exclusions and things of that nature and just trying to figure out where the plane is going to land in terms of all the trade deals around the world. But it's a good question. We'll get back to you with probably some more color on the next call.
Stefan Diaz: Great. That's really helpful. And then I just want to clarify some of the margin headwinds in North America in 2Q, all of that had to do with operational inefficiencies with the higher-than-expected growth, none of that was due to contractual pricing. So you don't really expect this to continue on until like the second half and into 2026, if that's correct?
Daniel William Fisher: Yes, that's a great point. And think about this, it wouldn't necessarily be contractual pricing. But as you see us growing at a faster rate, the categories that, that growth allows for out of alcohol, it's lower margin. And so there's an element there. When we talk about mix, I guess you could talk about the portfolio thinking that that's price mix, but it's not contractual in nature in terms of [Audio Gap] going down.
Operator: Does that complete your question?
Stefan Diaz: Yes. Thank you so much. I'll turn it over.
Operator: Our next question comes from the line of Philip Ng with Jefferies.
Philip H. Ng: Dan, I guess one of your larger competitors talked about how North American demand has been strong and it's been stronger than you expected as well. And they're going to run pretty tight going into next year and they don't have much inventory. Curious to get what's your situation in terms of capacity and ability to service that demand and appreciating a lot to still discuss with your customers in 2026. Remind us how you are set up from a contract standpoint? Is there any movement there? And do you kind of hope to kind of at least grow in line with the market next year?
Daniel William Fisher: Yes, great question. So we do have the new facility that's going to come online in the Northwest. So that will be helpful. So that part of the country for us is really tight. One thing that we're hoping to get a little bit more clarity to, Phil, is, I mean, we have used our Monterrey facility to kind of ship into North America. So if these tariffs persist at the levels, they are without some relief valves, and that actually creates even a tighter landscape in the Southwest and Texas in particular. So the reality is as we start to go through our plans and our strategic planning process that will be happening here over the next 6 to 8 months, what I expect is that we'll be running full out in all of our facilities, potentially carrying a little bit more inventory to balance that. I mean we can continue to grow. We did buy the asset in Florida that will help as a relief valve as well. But if we continue to grow at 5%, I think for the next 18, 24 months, we'll have to incrementally probably add a few lines here or there, do some speed up projects. But I think we're comfortable to spend in line or below D&A for our North America business for the next couple of years, still. The wildcard is just going to be, can we use those facilities in Mexico as relief valves as we historically have, right, for the last decade or so.
Philip H. Ng: Okay. That's helpful. And then earnings is pretty...
Daniel William Fisher: Yes, we'll grow in line or ahead of the market depending on somewhat the success of our customers. But right now, a couple of our large strategic partners have certainly got a winning recipe, and they believe that will continue here for the foreseeable future.
Philip H. Ng: Okay. That's a great backdrop, running full out and customers winning. So that's great.
Daniel William Fisher: Different than a year ago.
Philip H. Ng: Indeed. From an earnings perspective, South America was pretty strong. So it's good to see that improvement. How is Argentina shaping up? And when you look at Brazil, a little softer to start the year, but you sounded pretty upbeat in the back half, certainly a lot of noise on trade flow, uncertainty on that front. So just give us some line of sight what gives you confidence that the back half would be better in Brazil as well.
Daniel William Fisher: Yes. I think what happens in Brazil, so take Brazil, obviously, what we benefit -- we benefited from greatly in the second quarter is almost not making any money in Chile and Argentina and some of those places, and they're really nice mix for us. So that recovery contributed to sort of an easier comp, I would say, in the second quarter year-over-year. And then heading specifically outlining Brazil, I think some of our competitors even commented on this, like we're with -- we have a huge concentration with one customer. So as they go, we go. And typically, what happens is over a 12-month period, you more or less reflect the market. And if the market grows sort of in that 3%-ish range in Brazil for the year, that means our partner is going to have to grow at a little faster rate than that in the back half of the year. And they have plans to do that, and they've demonstrated that they do that pretty consistently. So that's the comfort, and that's the belief. We'll be with them here 2 weeks from now to get more clarity on that, but they're really confident that, that trend will continue and persist. And then everything else in and around Brazil is continuing to perform. It's always wait and see on Argentina, but I think the leadership down there has got them on the right trajectory. I think they have -- it will be important to see what happens relative to the crop performance down there, but everything seems to be largely on track in that economy. And as long as we're just incrementally growing and recovering at a steady clip, and it's not backsliding, we're going to be in good shape to deliver the back half of the year.
Operator: Our next question comes from the line of George Staphos with Bank of America.
George Leon Staphos: So in terms -- congrats on the quarter in terms of the progress. So the growth for North and Central America being at the top end of your range, which would be around 3% for the year. How much of that is predicated on what you're seeing right now in your customer mix and their strategies? And if some of your other customers start to do the same thing that the guys who are winning do, what would that mean for your volume growth? And if you could give us a little bit of color in terms of what you mean by connected promotion? And then I had a quick follow-on on aluminum.
Daniel William Fisher: Yes. So when we look at the broad -- let me start with the latter part first because, yes, I should probably clarify this. There is the same amount of promotional activity happening just in terms of price changes and rev mix plans and buy one, get one frees, et cetera. But the concentration of purchases within those windows has accelerated by the end consumer. So it's not that there's more promotional activity. It's that the customers, clearly, the end consumer must be weakening and they're looking at those opportunities and buying multipacks at an accelerated rate versus the prior couple of years. So that's what's happening, and that's what's contributing to probably a little bit more volume growth than anyone anticipated in the first half of the year. Really, it would be -- to your first question, really, it would be in and around beer. I mean, is there going to be recovery. One of our customers, in particular, is struggling just because of the tariffs. So unless that relieves itself, that -- we're not anticipating greater performance than the 3% top end. And even with that, George, we'll be fine because we're underutilizing our Monterrey facility right now for that customer. So if that particular instance happens, we're good, right? We'll be able to ship. We'll be able to deliver even in a more efficient manner. If growth persists with a couple of our customers in the 15% to 20% range, we'll be living hand to mouth. But eventually, you'll get out of peak season and there'll be more efficient delivery patterns in the back half of the year. But right now, it's tight. We're living hand to mouth. I think we can deliver. We still have some room to grow in facilities specifically that are adjacent to breweries, right, where they've been underperforming. So if that category rebounds, that's not a difficult solve for us. It's if there's even more activity in some of our strategic partners in the non-alc or the CSD space, that will be -- that will create more inefficient patterns. And then we'll just have to get out ahead of it for next year and probably carry a little bit more inventory if this is the direction of flight that we're going to see growth at this rate for a persistent manner.
George Leon Staphos: I appreciate that review. Second question, to the extent that you can estimate and feel comfortable talking about it live, Mike, on a call, where do you think the -- your average large customer, however you want to define that, their embedded aluminum price is relative to sort of spot market, if we look at Midwest premium. And when would we expect timewise that to basically converge. So basically, the question on the question, are customers using cans more now because they're hedged? And when does that end? It doesn't sound like you're too worried about that because of where the consumer is for '26, but some thoughts there, and I'll turn it over.
Daniel William Fisher: Yes, you will start to see that here in the second half of the year and into next year. I think it's about a quarter for a 12-pack. So how impactful is that in the price sensitivity curve, I think, is the -- it's -- cans are clearly cheaper than PET outside of the 2-liter PET, cheaper than glass still. So if that quarter for a 12-pack creates different buying behaviors, then I think you start to see -- and we saw the beginnings of that. You'll see the 24 packs and the 30 packs and the end consumer being far more conscious on that buy pattern, which then changes the velocity pattern, which changes the lumpiness, right, of your business. So that, to me, feels more about what's going to happen than any kind of dramatic shift because of hedges, et cetera.
George Leon Staphos: Understood. It will mean more operational planning on your side, but we'll turnover and thanks for the color.
Daniel William Fisher: Yes, yes. Correct. Correct. Yes.
Operator: Our next question comes from the line of Anthony Pettinari with Citi.
Anthony James Pettinari: Dan, earlier you -- in talking about sort of North American profitability, I think you called out $10 million in maybe inefficiencies, or I don't know exactly the language, but...
Daniel William Fisher: Correct.
Anthony James Pettinari: Would tariffs a smaller part of that $10 million? Or was it separate? And then does that go down in 3Q? And then just a related question, did Florida Can kind of weigh on profitability meaningfully in 2Q? Or just how did that asset perform versus expectations?
Daniel William Fisher: Yes. Thanks for the question. Florida Can probably think in the neighborhood of like $1 million to $2 million of -- and we'll start to get to kind of breakeven by Q4, and then it will be incremental profit for us in '26. The tariffs, probably $2 million to $3 million of that $10 million impact. So not a lot.
Anthony James Pettinari: Yes. That's helpful. And then kind of maybe a broader question. In terms of the impact of One Big Beautiful Bill on your business and thinking maybe especially about bonus depreciations, any kind of broad thoughts about how that could impact you this year, next year?
Daniel J. Rabbitt: Thank you. The other Dan will take this one. The short answer is we don't think it's going to change the trajectory much of the effective growth -- tax rate, excuse me. And largely, the benefits are going to come in through the acceleration of depreciation and a little bit of ability to deduct more but because of the EBITDA limit versus the operating earnings limit. But for the most part, we're still early in really figuring it out, but I don't think it's going to be much of a change for us.
Operator: Our next question comes from the line of Edlain Rodriguez with Mizuho.
Edlain S. Rodriguez: I mean, Dan, you've heard some beverage companies talking about the impact of immigration enforcement on certain customers. Like are you prepping for a potential demand slowdown in certain markets? Or is there a disconnect between what's being said and what you're seeing out there from your customers?
Daniel William Fisher: Yes, this is a very difficult analysis. So I'll give you the optimistic viewpoint on this challenged issue, social issue. So there's more consumption happening online, multipack and in grocery channel, multipack, less at the C-store channel. So that has a real impact for some of our customers that sell and have an overwhelming profit pool within the C-store channel because folks are concerned that ICE is going to be there. So it could be a benefit for the can. So it's actually the opposite. I'm not thinking about a slowdown, I'm thinking about a continuance of a volume lift with the multipack purchasing, the at-home and the grocery channel. Over a longer period of time, absent immigration, our economy doesn't work without immigration in some balanced form. But for right now, I would gather there's probably a bit of a benefit absent a headwind in the way you characterize that.
Edlain S. Rodriguez: Okay. Got it. One quick one on Europe. I mean, again, continues to perform well. Can you talk about how balanced supply/demand is in that market and whether some new supply might be needed to meet the growing demand that we're seeing there?
Daniel William Fisher: Yes. It's a land of opportunity. And I think all of our competitors are saying the same thing because of the under penetration in cans, the carbon footprint of glass that we're capitalizing on. We put in a few big boxes, big facilities, and we're continuing to build those out. So there's incremental capacity that's being added to step into exactly what you described, the sustained growth at this mid-single- digit level, which will have to be supported. We're starting to hear some announcements from other competitors that they're adding some capacity line by line. But if we continue to grow at the rate we're growing, we're going to have to move some of our projects probably to the left and do things by next year, '27, '28. All of that will still be within our capital envelope that we've outlined. But yes, there's going to be a need for capacity adds if the market continues to grow mid-single digits.
Operator: Our next question comes from the line of Josh Spector with UBS.
Anojja Aditi Shah: It's Anojja Shah sitting in for Josh. We kind of touched on this a bit, and I know cans have performed well historically in recessions as consumers tend to trade down, eat more at home. But what's the outlook if inflation goes up? Because we still don't know the full tariff impact yet. How have cans performed during high inflation times? What are the puts and takes we should be thinking about?
Daniel William Fisher: Well, I think we did not do well the last couple of years during that inflationary pressure. So it's a bit of a nuanced question. You're on to it. It's like we're recession-resistant, not inflation resistant. So when our customers need to take price to offset additional input costs, that's a direct volume headwind to us. So we saw that. But you're at a different point in time in the economy where either the end consumer, if they can't afford to pay for those higher input costs, then everybody is going to -- everybody -- our customers and us are going to struggle. And then that gets you back into the recessionary environment. And in that, what we're seeing exactly to your point, it's like there's going to be concentrated promotional activity and buying during that particular time. Our customers have fixed costs. We have fixed costs. So I think there's going to have to be a balance here. But yes, we're -- with hamburger at $10 a pound, that's not a good environment for a long. And we're benefiting from it now, but no one is going to be benefiting from that particular environment for a while if interest rates don't come down and things don't stabilize a bit. Good question.
Operator: Our next question comes from the line of Chris Parkinson with Wolfe Research.
Christopher S. Parkinson: So Dan, when you take a step back and assess where you've been across your geographic portfolio and where you want to be, what have been the two best surprises? What have been the two worst just given all the puts and takes that we've seen, perhaps positive in Europe, a little bit more mixed in the U.S. Just where do you kind of stand as you -- as we're entering the second half of '25 into 2026?
Daniel William Fisher: Yes. For this year, in particular, I think, is the question. Is that correct?
Christopher S. Parkinson: Yes.
Daniel William Fisher: Yes, yes. No, I think Europe is mostly in line with where we expected. Our strategic partners are doing well. Like beer is not doing as well, and we have a higher customer concentration in CSD and energy, and those have really outperformed and kept us probably in line or a little ahead of the market. So that continues to be a good story. I think South America is a mixed bag. Brazil has underperformed. Some of the other countries have overperformed. I think that balances out as we move into the back half of the year because we have such a customer concentration with one particular player down there, and they will certainly not continue to lose share in the marketplace. They've demonstrated that historically. And then I think North America's beer is not as good as we anticipated, there are pockets of I think "American beer" is doing okay. It's not domestic anymore apparently. And I think the energy market has certainly outpaced what we anticipated. So that's kind of the backdrop. All in all, it's better, net better. And I think cans are winning. So that's a good part. I think we finally hit a bit more of a recessionary window, which the can has a better playbook for sustained performance in that. And so we're more bullish probably in the second half of the year than the balance of most packaging companies.
Christopher S. Parkinson: Got it. And just if I may parlay that question into some of your some of your commentary at your Analyst Day, you spoke about 2% to 3% volume growth, the 2% op leverage and the 4% to 6% share count as I recall. And -- the Street is pretty much already there in terms of like 10%, 11% EPS growth. I mean, where would you be assessing on -- in terms of the volume? And you kind of hit on this for like one geography or two. But do you see yourself kind of trending towards the higher end of those ranges? Or like what would be the other puts and takes as we think about the algorithm you put out, I think, last June?
Daniel William Fisher: Yes. Good question. So we're definitely at the higher end of that range. Some of this does have to do with your customer portfolio. And a lot of our customers are doing extraordinarily well right now. So we're going to eclipse the higher end of the range. We're also very cognizant in the last couple of years, we've been at repositioning a bit of our portfolio to categories. We were much heavier in beer. So we've repositioned a little bit of that. And so we're starting to see the tailwinds of that. We'll continue to see the tailwinds of that into '26 and '27. I'm not going to move off of the 2% to 3% right now because the world is certainly uncertain. But we're -- this year, we'll definitely be at the high end of that and over, and it's looking good for next year as well at this point.
Operator: Our next question comes from the line of Jeff Zekauskas with JPMorgan.
Jeffrey John Zekauskas: Can you talk about your rates of volume change in consumer soft drinks and beer in the different geographies and in the aggregate?
Daniel William Fisher: Yes. So I think beer in South America is continuing to grow at a slower rate because of Brazil and the inflationary pressures there, but there's continued to be growth. The beer growth is flattish to slightly up in Europe, probably growing at a slower rate than it has historically. CSD and energy is growing at a faster rate than historically in that part of the world. I think there's more competition. There was an acquisition made of some of the Pepsi bottlers by a big brewer a year ago in Europe. And they're -- in the markets that they're competing against, Coke in particular, there's a little bit more competition, if you will. That's creating some favorable tailwinds. And then in North America, I've probably given you -- I've outlined that. There's a couple of brands that are doing a little better than we thought, but I think the tariffs on the one particular brand that has really driven the entire category to a little bit more of a balanced growth trajectory. They're certainly challenged, and they're one of our partners, and so we're challenged along with them.
Jeffrey John Zekauskas: Okay. Great. And when you think about the profitability of the North and Central American beverages, should it jump because the incremental costs that you're feeling seem to be more transitory?
Daniel William Fisher: Yes. With the exception of let's see how -- yes, it's a good question. The only question mark I have right now is, is volume going to continue at this rate? Where does it settle out? And then the tariffs because we've all been somewhat reliant on supply patterns to use those plants in Mexico to ship North. So if we can't do that anymore, I think there's probably a little bit of a fixed cost burden that's a drag on the supply chain landscape. We will be in a better spot once our plant in the Northwest comes up and is running, so I think the volume is great. The mix of where that volume is coming from, when it's in nonalcohol, it's a little bit less profitable because of the price point the end consumer consumes of. So for us, I think we really like the trajectory 18 months out on all of this when we have our new facility and things are operating in a more efficient normalized freight pattern. And let's hope that cooler heads prevail on some of the tariffs and things of that nature. So yes, I think the trajectory -- I'm optimistic. I don't know about the next 6 to 9 months in particular, but I think your point is valid.
Operator: Our next question comes from the line of Arun Viswanathan with RBC.
Arun Shankar Viswanathan: Just wanted to ask about the kind of the EBIT algorithm. I know that margins have been under pressure here. And so maybe you can just discuss your thoughts on returning that 2:1 kind of EBIT leverage on top line growth. And also, you mentioned so goes your exposure to one customer, so goes your exposure or your performance. So I guess when you think about that portfolio of customers that you have, how do you think about volumes evolving, I guess, in North America as you look out maybe over the next 6 to 12 months?
Daniel William Fisher: Yes. The customer concentration that I talked about was South America in particular. we're feeling good about the trajectory of flight. We've done some repositioning of our portfolio to -- and you'll see that over the next 18 months as well. So we're moving to kind of less beer, candidly. We had probably over-indexed into beer. And so we're making that pivot and those are the categories and the brands and the areas that have a little bit more tailwind for the future. So we're encouraged about that. The EBIT algorithm, we have two things that were -- that we called out last year heading into this year that are non-repeats, and that's the interest income for carrying the cash from the aerospace transaction. So that's kind of mid-$40 million impact. And then for Q3 last year, we had nearly $20 million of insurance proceeds that came through our PHC business. So absent that, yes, we're right in the 2:1 algorithm. Those -- we still may be able to hit that and offset that $60 million, but that's -- so we're right in spitting this into the 2:1 algorithm. And when we talk about it, we talk about its enterprise wide. So you'll have timing and shifts and we're running this more as a portfolio and as an enterprise as opposed to being laser-focused on the 2 in 1 in each region. Over time, the 2 in 1 in region is what we're shooting for and then managing our portfolio to ensure we're getting back value to shareholders in a more consistent manner by managing the portfolio is the thought process.
Arun Shankar Viswanathan: Okay. And if I could just follow up on that, the category mix comment. So was that also -- was that North America based? And if so, maybe how do you see your nonalcoholic, alcoholic beverage exposure trending? Would you say that you were maybe 40% alcohol and that's trending down lower to the 30% range? Or maybe you could just frame that opportunity for us.
Daniel William Fisher: I think you're largely there with that trajectory of flight. Moving from kind of 40% to 30% would be optimal over time. Yes, I think that's more of the -- I don't want to talk too much about our strategy, but that's -- at a high level, that's the thinking.
Operator: Our next question comes from the line of Michael Roxland with Truist.
Niccolo Andreas Piccini: This is Niccolo Piccini on for Mike. I apologize if this is repetitive. I was joining from another call. But in 4Q, I think you had mentioned that you had over like 85% of your 2026 volumes under contract. I was wondering if you could give us an update on where that stands currently and then where 2027 volumes are.
Daniel William Fisher: Yes, '27 is still a bit early. I'd say 2026 for North America in particular, is just slightly north of 90%. And we have one contract that's fairly sizable that comes due in '27 for North America. So you're probably 75% in '27 that's under contract. So we've really done a nice job of future-proofing the business and kind of repositioning some mix and some category movement. And then one of our big partners, that contract comes due, but we're feeling good that we're going to land that in a good spot for '27 and beyond.
Niccolo Andreas Piccini: Got it. And then just quickly on -- was there any manufacturing efficiency that's contributed in 2Q ahead of expectations? And how do you think about efficiency gains going forward?
Daniel William Fisher: Yes. I think the plants are running well. We're about 18 months into our Ball business system. You saw nice improvement in South America. Our ability to kind of deliver this higher-than-expected growth in Europe is largely attributed to the plants running well. It was a bit choppy in North America, but largely because we weren't able to use Monterrey to its full extent in Mexico because of the tariffs and then just some acceleration in a couple of areas where we had to convert to different can sizes to keep pace with the growth. So in the short term, I'd say we underperformed in North America, but a little bit more stable outlook here, and then we will lift up. Our goal longer term was at, I think, at the Investor Day a year ago was to kind of flow through 50% of our gross savings. And then we're still on track. You'll see last year; we were able to benefit from a lot of the fixed cost savings from some of the plant and facility closures. We're navigating a lot of supply chain challenges because of the accelerated growth here in North America, a bit of the tariffs. We've been able to offset that and continue to keep our EPS guidance, if not raise it as we just did. So yes, I'm feeling good. It's really a long-term outlook. I start with safety and quality. Both of those are at world-class levels. So once I see those two metrics in good order, the rest generally follows. And it's awfully difficult in peak season to look at kind of where you are. But I think when we reflect back at the end of the year, we'll be able to point to some really nice performance in the plants across the globe. Christine, we'll take one more question.
Operator: Our final question comes from the line of Richard Carlson with Wells Fargo.
Richard Clayton Carlson: So most of our questions have been answered. Thank you for the detail so far. But I guess one thing we wanted to ask was about scrap metal pricing and how that has been impacting you.
Daniel William Fisher: It's really negligible. Most of our contracts, especially on the tolling, that's controlled by our customer. We're keeping an eye on it, obviously, as tariffs increase, that scrap market is going to increase at some point as well. It already has a bit. And then the other thing is you already have such a high recycled content number, there's been a bit of pressure on that market already. So people have gone out and gone long in a number of areas, especially within our particular marketplace where we're so heavily dependent on that processed aluminum coil at higher recycled content. So we rely heavily on our supply base to help manage that. But it's a good question, something certainly we're keeping an eye out, but it hasn't had a negative impact. We're more concerned about -- candidly, we're more concerned about the demand side of tariffs in general writ large across the economy than we are about any kind of isolated metal market at this point. All right, Christine, with that, we'll look forward to talking with you all in 100 days or so. I hope the balance of your summer goes well.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.